Cristiano Teixeira - CEO:
Marcos Ivo - CFO and IRO:
Sandro Fabiano Avila - Forestry Director:
Jose Soares - Commercial Director of Papers:
Alexandre Nicolini - Pulp Commercial Director:
Operator: Good morning and welcome to Klabin's Conference Call. At this time, all participants are in listen-only mode. Later on, we will conduct a Q&A session when further instructions will be provided. We kindly ask that, for the benefit of time, each analyst asks a maximum of two questions. As a reminder, this conference call is being recorded and is also being transmitted simultaneously via webcast that can be accessed through Klabin's Investor Relations website, where the presentation is also available. Any statements eventually made during this conference call, in connection with Klabin's business outlook projections, operating and financial targets and potential growth, should be understood as merely forecasts based on the company's management expectations in relation to the future of Klabin. Such expectations are highly dependent on market conditions, on Brazil's overall economic performance, and on the industry and international market behavior, and therefore are subject to changes. Here with us today are Mr. Cristiano Teixeira, CEO, Marcos Ivo, CFO and IRO, and the company's officers. Initially, Mr. Cristiano and Mr. Ivo will comment on the company's performance during the second quarter of 2024. After that, the officers will be available to answer any questions that you may wish to formulate. Now, I'll turn the floor over to Mr. Cristiano. Please, you may go ahead, sir.
Cristiano Teixeira: Thank you, and welcome to our call on the second quarter of 2024. I would just like to highlight that at the beginning, we will be quicker and much more objective in terms of all of the members in our presentation. With that, we will give more room for the Q&A session, because through the Q&A session, we will be able to enlighten you and give you more details. So, very quickly, about the first slide on page three. I would like to highlight that this was a very good quarter in terms of business performance in all lines of business. I would like to draw your attention to our commercial strategy, and I will split this presentation into three officers. Nicolino had a brilliant focus this quarter. He managed to draw the business to the area where we wanted, and this strategy remains towards the second quarter. I would like to also draw your attention to the structure of the company in terms of product portfolio, and also in terms of the capacity of the commercial strategy on the part of our officers. Next, we have Fluff, which was quite resilient. You can notice that when you look at the revenue and price of the product. We will elaborate more on that. Fluff's stability tends to be more apparent in the third quarter. We have been telling you, I think, for several quarters and years in a row, the premium of long fiber versus short fiber, and particularly Fluff. This differential of fibers related to the product portfolio have been increasingly transparent. I mean, looking at the numbers, you have a better idea of what I'm talking about. And once again, if we look at it more strategically, I mean, structural in the long run, now we can talk about the completion of the business related to the acquisition of Arauco's assets in Paraná, because that allowed us to have more long fiber in our product portfolio. Now, going to the main takeover message on Pulp, the commercial strategy, together with the strategy of the company in terms of focusing on Fluff. Now, in terms of the paper market, particularly coated boards, I would like to mention the brilliant work of Jose Soares. He was able to ramp up our coated board machine, much more profitable than a Kraft Liner machine. You cannot draw a parallel with SK-1, a Pulp machine. But if we had to look at the difficulty degree, I think the only product of short fiber would have a difficult level 2, and Kraft Line 6, 7, and coated board difficult level will be 10. So, once again, Jose Soares managed to put together some brilliant work. It's important to highlight that we are just at the beginning of the ramp up of our coated board machine, both coated board and next, I will talk about packaging. We’ve gone through a transition of a period of disbursement of the company, and then the beginning of the deleveraging that involves increased results, better revenues. We are maintaining and increasing our margins. We are growing our margins. And that was attributed to the ramp up of our investments. And I'm referring to PM28 and Figueira. And finally, speaking about packaging, I would like to draw your attention to the third business pillar, Douglas Dalmasy. He is in charge of the packaging unit, and he also did some brilliant work. He participated in major bids. He followed a very specific strategy per customer and per market. And this stems from the product mix, the market, and the geographies. I talked about geography, short fiber. I said, I talked about the strategy, which is having long fiber and also including fluff, it's a very scattered market. And in terms of packaging, there are lots of SKUs and that's why it's difficult to trade in this area. But we were very efficient in this mix and we were able to gain volume. And with that, I would like to say that not everything was a bed of roses in the second quarter, we had carryover issues related to logistic problems, I would like just to make a side comment. Because today, the major logistics bottlenecks in the country is exports in containers, something is happening. And very humbly, I would like to say that I haven't yet understood, I have over 30 years of experience in logistics, but I have yet to understand what is happening. And what is happening in the warehouses in terms of containers. And at first, I think there is also an issue with a number of vessels in Brazil. We one of our officers works in supply chain and logistics, and he will be able to elaborate more on that subject during the Q&A session. But given the backdrop, I must say that not everything works wonders, because we could have produced over 30,000 tons on top of what we produce. And this would give us an even better result for the quarter. And now I'll turn the floor over to Marco, and I'll come back to you later on.
Marcos Ivo: Thank you, Cristiano. Good morning to you all. In terms of the change in the format of our meeting, the slides that we have in the presentation in the past, I mean, the slides are in the Annex of the presentation. And in case some of the investors want more details, the IR team will be at your disposal. Moving on to slide number four, net revenue for the quarter was R$4.9 billion, up 15% on a year-on-year comparison. This increase is mainly attributed to higher sales volume, increase in the price of hardware pulp, and the valuation of the BRL against the dollar, which strengthens our exports. Adjusted EBITDA amounted to R$2.052 billion in the quarter, with a margin of 41%, which represents an improvement of 10 percentage points in the margin when compared to the same period of 2023. Now, moving on to slide five, the total cash cost per ton was R$2,890 in the quarter, down by 11% year-on-year, and also a 3% drop compared to the first quarter of this year. This consistent reduction in cash cost, with improvements in all cost lines, materializes the various actions implemented by Klabin and reaffirms our ability to deliver what has been indicated to the market. Now, on page six, Klabin ended the second quarter of 2024 with a net debt of R$23.8 billion, an increase of approximately R$2.4 billion when compared to the previous quarter. This increase is largely explained by the negative effect of the appreciation of the USD against the BRL on the net debt in foreign currency, with no cash effect in the period, with no material cash effect in the period, and which was partially offset by the positive free cash flow in the quarter. Leverage, as measured by the net debt to adjusted EBITDA ratio and USD, ended the quarter at 3.2 times within the range set in the company's policy. Now, moving to the next page, Klabin's liquidity remains robust and ended the quarter at R$15.7 billion. This liquidity is made up of R$13 billion in cash and the remainder in undrawn revolving credit line. This cash position included funds in USD that were used to pay for the Caetê project, according to the material fact on the closing of the transaction published on July 16. The average maturity of the debt at the end of the quarter was 88 months and the average cost in USD was 5.7% a year. Turning to page eight, according to the shareholders' notice published yesterday, the company approved the payment of dividends amounting to R$410 million to be paid on August 15. In the accrual view, the dividends distributed to shareholders over the last 12 months amounted to R$1.422 billion. This amount represents a dividend yield of 5.7%. I will now hand over the floor to Cristiano, who will bring more details about the trends of the business.
Cristiano Teixeira: So, this slide we used to show at the closing, and I hope that these new dynamics please you, I will not give the closing remarks with a view of the third quarter. We're going to do this now. And I hope that this can help us debate more in the Q&A based on the data that I'm going to share with you now. So, this slide about the trends, I just wanted to ask you to be patient. We're improving it. We've started evolving and that will bring new view in the next quarter. But the fact is that we started this two or three calls ago and we've been evolving. And amongst us here in the management, we've been seeking this synergy with the view of the capital market through our IR department. And we're getting closer to a better language in our communication and hopefully on the next call we'll bring further improvements. So, about the slide itself, what's new here is sales volume. I'll explain the three columns a little bit. I'm sorry for this bureaucracy, but when we include the demand column here about the market, what we're seeing here is not in terms of volume, not directly volume. Here is what our sales directors visualize or sense or perceive. It's the perception of our commercial teams on what they see in the market. And when we go to the volume column, this is fact-based. The volume that we expect to make in the third quarter compared to the second quarter. So, you're going to see oftentimes that the volume here in a positive trend or maybe even a negative trend and the market role will not have a direct relationship with this. Why? Because maybe for some reason I may be selling more or shipping more in the third quarter compared to the second quarter. But that does not mean that the perception of the market, of the trends, is the same that the commercial director is seeing in their business feeling. So, there's the market view, the director's perception of what he sees in the market, the factual volume view, what we're performing in terms of shipments. And you're going to see that there will be an explanation here about the carryover that I mentioned in the opening remarks. And finally, we have the price growth, always the quarter that we're projecting. So, in this case, the third quarter compared to the second quarter and where we're thinking the price trend is going towards. Of course, making it clear that we don't bring specific numbers here. Everything here is always based in our perception. So, I apologize for this long explanation, but it's just to make it clearer for you on the slide. And this is the last slide before the Q&A. So, first thing, the perception that you'll be able to explore in the Q&A, the market perception, of course, there's a moment of concern. We see relative doubt in terms of the China consumption and a parallel in terms of volume of the plants that are getting into operation. So, the combination of these factors brings for the third quarter a market perception that is worse compared to the second quarter in terms of volumes. So still on short fibre. I talked about the first image, now about the second in terms of volume. We see that there's a higher perspective of shipments because of the geography strategy that we mentioned that lead to a carryover. Strategically, we're building inventory at a certain location and this is pretty much make-to-order that will turn into invoicing. And there's some carryover from the second quarter to the third quarter that was due to that commercial strategy that will bring more volume. So, there's greater volume in the geography where we tend to be better. But looking at the market perception, there's a concern in terms of China. In terms of price, we maintain that perception for the third quarter. The perception is worse compared to what we saw in the second quarter. This may eventually, and that's what we're working for, may be offset by the commercial strategy that we implemented for the third quarter. So, maybe we will not suffer as much with the perspective that we have. Quote unquote, and concern the market in China and maybe we'll be able to soften that. Talking about fluff. I've also mentioned that in the company's strategy of having the long fiber fluff, it's a product that's been proving stable in terms of the market and due to the supply and the growing demand. The perception remains very positive for the fluff market following the previous quarters. Now, in terms of volume, there is a slight worsening that's mostly due to the general stoppage. So, it's a little bit below for fluff. It will suffer, as coated boards will, and I'll talk next, because of that general stoppage. And since I mentioned we're monitoring closely the stoppage with our industrial director who's there in Paraná supporting this stoppage so far so good. And if everything goes well in August, we'll have the plant at full steam in terms of volume again. Going back to fluff. So, there's a slight perception of a volume decrease due to the general stoppage. As for prices, the market perception is also maintained. The prices have to adhere more. The price is more related to the market perception to change the inertia of each market. But fluff maintains a positive view in terms of price. Moving on to coated boards. Coated boards have a slight improvement in the market's perception. Just Soares will be able to talk more about this. And when we go to volumes, we see a slight decrease compared to the second quarter. And the third quarter compared to the second quarter also due to the general stoppage. So, both for paper machine 26 that makes the fluff product and machine 28 that makes the coated boards, we'll suffer a little bit because of this transition of the general stoppage that took the second half of the month of July and the beginning of the month of August. So, in terms of price, we see a stability, positive stability for coated boards prices. For Kraftliners, so far, we're keeping up with the price not only in Brazil but around the world. Giving an idea of the competing products, not in a direct line, but Soares can talk more about this. Our products don't compete, but a lot of our products compete, I mean, recycled with virgin fiber. And when you have a combination of factors, such as an improvement, a seasonal improvement in the shipment of boxes and the increase in the OCC prices that happened in Europe and in Brazil very strongly, that also backs up this market perception for liner. And in terms of volume, this coincides in this case due to the carryover, reminding you that the exports of liner is more in container rather than the short fiber pulp. So, liner suffers or struggles more with the carryover due to the container board shipments compared to the short fiber pulp. That's the break bulk. So, in terms of volume per Kraftliners, we tend to have a very good volume because we're expecting to recover part of that cargo that was left behind at the port that's already addressed to clients, but it needs to be shipped during the third quarter. As for prices, the same direct relationship with that positive market perception. The prices, similarly, especially since recycled have been pressured by the price of OCCs around the world. And noting that in the chain, that helps maintain prices of corrugated boxes. That's what I'm going to talk about now. So, corrugated boxes, talking about Brazil, is at a good moment in terms of market perception. Noting, and Douglas Dalmasi will be able to talk to you about this as well, but that's the time that we have now. Every year, when we get to July, August, September, October, it's our peak of corrugated boxes shipments. That's the preparation for the holiday season at the end of the year. That happens in Brazil and in other countries around the world. So, this peak in the shipment of corrugated boxes is directly connected to that. So, that perception of an increase in shipment, so the consumption of papers, combined with the increase in the price of OCC is what helps support the prices at this time for the corrugated box market. Looking at sales volume, it maintains. This is zero logistics impact. And what I've been talking about and explaining, we're talking about the distribution to the domestic market here. And these volumes, as I just mentioned, from July to October, we have the main months of the year. So, here, what you'll see in the material that we release to you, and maybe also when we talk in the Q&A with Douglas, I'd like to highlight here the commercial strategy of bringing the 100% eucalyptus product, what we call Eukaliner, that has a low grammage. And I explained in the last call, with one ton of paper, when we go to the corrugator to make a sheet, a corrugated sheet, we no longer think about weight. We think about area, because a box that I sell to my client is in the terms of area, not weight. And the commercial strategy here is mentioned on the release and also in terms of numbers. Klabin is shipping more square meters with the same weight, with the same tons, for that winning product that is Eukaliner. Finally, prices, we see stability. Of course, we have the history of the recent years for corrugated boxes, even beating inflation, at least over the last five years. The demand in Brazil has been showing that. And what we see is a cost pressure so that the price doesn't go down, but the price performance will depend from here to the end of the year on how the absolute volume will be. But we, at this time, project stability for the price of the boxes. In the industrial bags, for us, the demand remains neutral. That's the market perception. The authorities have been saying recently something about Minha Casa, Minha Vida program, housing program. But this perception still does not translate into shipment for us. We have very strong shipments, as you see, dominant in industrial bags in Brazil and in many countries in Latin America. But specifically in Brazil, civil construction, maybe we haven't yet materialized the expectations that there may come in the second half of the year, and we'll share it with you if it comes to be. In terms of volumes, the sales are slightly higher. The bags, is a product as exported as any other paper because logistically it's a product that makes sense to export because of its weight. And in terms of prices, we see stability. I hope I didn't go on for too long in the next meeting, I'll remove the explanation about this presentation and we'll get more into the context. So now we'll go to the Q&A. Thank you so much for this.
Operator: Ladies and gentlemen, we'll begin the Q&A sessions now. In order to ask a question, please click on the raise hand button. To remove your question from the queue, please click on the remove hand. Our first question, Rafael Barcelos from Bradesco BBI. Please, you may go ahead.
Rafael Barcelos : Good morning. Thank you for taking my questions. My first question is more for Cristiano. My first question is more for Cristiano. We have recently been seeing a wave of M&A and a series of markets in the United States and Europe and the Latin American countries as well getting into this scenario. With that said, we're seeing no evaluation in the strategy of integration and verticalization that we see at Klabin. I'd like to understand your view about these recent events and, of course, not only how this impacts Klabin, but what should be Klabin's role in this scenario? And my second question about the corrugated box markets. The market's been showing good numbers and I think as Cristiano mentioned in the beginning about the growing demand. But I'd like to hear more about the second half of the year, how you see the fundamentals for the second half of the year. I understand there was an attempt of price increase recently, so it would also be interesting to hear about the competitive environment prices and how Klabin is positioning itself in terms of prices for the second half of the year? Thank you.
Cristiano Teixeira: Thank you, Rafael. We'll start with Klabin's strategy that you mentioned on the M&A part of your question. We are somewhat pleased to answer this question in the sense that we've been trying to show a strategy that's not of this director's or this management, but it has been the company's strategy for a long time. The company believes in integration. And it's a simple thesis. Our rationale is that the closer to the market that we are, the consumer market, in theory, of course there are exceptions, but we should have a greater price stability. The further back down the chain, the closer to a commodity we are. And the more volatile your product pricing will be. So, we add capital into our capital allocation strategy. The added value of capital in the direction of the market per ton is always a lot lower. So, what I invest to make, to build a corrugated box factory or printer is a lot less than what I invest per ton to make paper and the fiber, the pulp. But this additional capital allocation is offset by the price stability over time. Noting that we have an overview of 10, 20, 30 years, we can never get away from this thesis that one paper machine that we install will last for 30, 40, 50 years. We have some cases of machines being in operation for 40 years. So, we do believe in integrations and we believe in a broad product portfolio. We believe a lot in long fiber. We believe that this is the biggest differentiator combining the product portfolio. Long fiber is Klabin's biggest differentiator that makes Klabin unbeatable. And we believe that and we'll continue implementing this strategy.
Jose Soares: Talking about the market now. Good morning, Rafael. Thank you for your question. As you know, the first half was a positive surprise for us. So we grew close to 6%. And then the Figueira startup was very good because if we did not have Figueira at this time, I mean, we got the strategy right. If we weren't in at this time, we would not be able to meet the growth of the market. And it's also going to help us for the second half of the year as well. So how do we see the second half? Strong as well. Looking at papers and we look at it the same way as Empapel looked at it, the growth projected for the years of 4%, Risi 6%. So, it's in line with what we see for the year. And the high demand as the numbers that we have combined to cost pressure and a better mix. When we look at the average price for the year, it should be similar to last year, slightly below it. But when we look at the third and fourth quarters, it will be better than the second quarter. So, the third and fourth quarters prices will see a recovery, a price increase. But due to the product mix demand and cost pressures, price tends to be better than the second half, better than the second quarter.
Rafael Barcelos : Thank you. Just to follow up with Cristiano. Cristiano, I understand Klabin’s strategy, but in this point of M&A and organic growth, how do you see the possibilities for Klabin today from now on?
Cristiano Teixeira: Thank you, Rafael. Actually, yes, I forgot to mention that maybe I got distracted. But this is -- getting back to what I said in the beginning, I think I mentioned it, but this is the moment for us to ramp up our machines, bring new revenues, new EBITDA. We really have a very strong focus in deleveraging the company and making the most of this moment of commercial focus. You see that I mentioned that in the beginning. So, we have a strong commercial focus, a lot of focus on the strategy of product portfolio, bring new EBITDA, new revenues, and deleverage the company. So, there's no M&A expected or in Klabin’s expectations, not in Brazil or around the world.
Rafael Barcelos : Great. Thank you.
Operator: Next question, Daniel Sasson, Itaú BBA. Please, Daniel, go ahead.
Daniel Sasson: Good morning. Thank you for the presentation. If we can talk a little bit about costs, in addition to the strong performance you had in volume and prices in the quarter that also got my attention, but you have a perspective of total cash cost as you see it remaining flat in 2024 compared to ‘23. But the performance was extremely good in the first half of the year, something close to 950. So, if you can talk a little bit more, if there's room maybe for the cost to be lower for the year than the 3.100, I think it would help us project the second half. And also, if you can talk a little bit about the impacts of the Caetê project. Which impact it has already had in the cost reductions and what we can expect from maybe a harvest plan to being reconsidered, being closer to the land you acquired and how that impacts the second half of the year? And my second question, maybe to Soares, Cristiano as well, talked a little bit about this in the volume expectation slide. But if you can tell us a little bit more about the timing of the domestic market or the scenario in terms of competition, for example, we saw news in terms of price increases in packaging. So, in this context of a strong demand and the higher costs with bulk that impact your competitors who are not integrated. So if you can give us an overview or a perspective for packaging and papers to until the end of the year, I appreciate it. Thank you.
Cristiano Teixeira: Thank you, Sasson. We'll start with Sandro. I think Sandro addressed you very few times. He is our Forestry Director and he is the person who represents an entire team who's there running the integration of Arauco's assets with Klabin. So, all of the synergies that come are from this operational strategy that Sandro is going to talk to you about. And after that, Marcos will get in and talk more about the cash costs. So, I'll switch it around and at the end we'll bring Soares. Okay, Sandro, please go ahead.
Sandro Fabiano Avila : Thank you, Cris. Hi, Sasson. Thank you for your question. It's a great opportunity to bring you an update about the Caetê project. So as was said in the beginning, the transaction was concluded on the 16th and starting on July 17, we carried out the official integration of receiving Arauco's assets, including forest installations, machinery and the Arauco team. At that same time, we already started a new operation combining the assets and we're calling it a new forestry inside Klabin. I'd like to highlight the brilliant work done in this integration involving a number of areas in the company and that ensured the success of this operation with the highest quality and agility also because it happened in a very fast term of five months. And I'd like to say that we're very prepared, very well prepared, and I'd like to reaffirm our commitment and our confidence in the synergies that were expected in this business plan. So, answering your question, yes, the second half starting on July 17, it's a completely different operation in forestry, maximizing all of the opportunities of the combination of those assets.
Cristiano Teixeira: Thank you, Sandro. So now, Marcos.
Marcos Ivo: Sasson, I'd just like to add, Caetê as Sandro said, we're very confident that we'll deliver what was planned, what's in our business plan about Klabin's total Caetê cost. We need to remind you that we have some seasonality, especially with the general stoppages, that bring lower production and an impact in fixed costs. We have our main stoppages happening now in the second half of the year. Ortigueira stoppage at this time, Monte Alegre stoppage planned for October, and Corrêa Pinto is a smaller stoppage, but it's still important, will be in around September. So, we delivered a first half that was slightly better than the guidance, but being conservative, we'll maintain the guidance for the year. And we're very confident that we will deliver what was provided to the market.
Cristiano Teixeira: Thank you. Soares?
Jose Soares: Hello, Sasson. Thank you for your question. So now answering a little bit about the moment of the domestic market, the first half of the year was a lot better than what usually happens in the first half. So, what we're picturing, of course, that we'll have a second half that will be better than what we usually have. And it's, in general, it's a lot better than the first half. So, we're moderately optimistic that we will have a second half that will be better than what we usually see. So, that indicates a good demand for all products, both craft and coated boards. Looking at the price aspect, we announced an 8% increase in Kraftliner. This increase was implemented for White Top Liner and for brown Kraftliner in the entire portfolio. It's completely implemented. And for coated boards, it's 6.19% as of July, which is partially implemented. Now there's a contractual aspect. We have clients who have contracts that go into different periods of the year, and we respect that. This increase will be gradually implemented until the end of the year. Looking at competitiveness, as you said, of course, we have been seeing a strong cost pressure implemented due to the OCC, as Cristiano mentioned with you. And this has been affecting the recycled paper producers, and that favors the Kraftliner side. And we will take advantage of the increase in the cost of recycled papers. So, we're seeing the implementation of this recycled papers of 15%, which enabled the implementation of the price increase for Kraftliner. And there may be some room in the second half at some point to correct and adjust that price again, keeping up with the cost evolution. Another important point for coated boards is that we expect to see a reduction in exports in the first half. We still had strong carryover of imported products and coated boards, especially from China. We saw growing volumes. And of course, now we imagine there will be a reduction due to the exchange rate issue. If you look at the exchange rate in December and what we see now, and the logistic side that Cris also talked about, it's a global issue. It's nothing that affects only us. There are logistic issues. So, we see in the logistic side, we see containers that got to $1,500 already talking about $8,000 to $10,000 per container. So that will, the trend is that there will be a decrease in the impact of imported products. So that opens another line of growth opportunity for the second half for coated boards. Overall, that's what we have, Sasson.
Daniel Sasson : Thank you. That was very clear.
Operator: Our next question is from Rodolfo Angele from JP Morgan. You may proceed, sir.
Rodolfo Angele : Good morning. First, I would just like to say that I really enjoy this new format. It's very important that we have more time to chat. So, congrats on this change. I have two questions. First, Cristiano mentioned how the OCC process is complex, especially in terms of the machine. So, what are the next steps? Should we expect anything else, especially in regards to operating improvements, lower costs? So, if he could elaborate a little bit on the ramp-up process. And secondly, you also mentioned the importance of the softwood to clubbing or the long fiber to clubbing. And we are seeing prices of fibers being lower now. I know that the ramp-up process may be approaching its end. So, I would like to hear from you what, in your view, would be the performance of long fiber or softwood going forward, considering lower pulp prices? Do you think there is room for an extensive performance of the long fiber? Thank you.
Cristiano Teixeira: Thank you for your questions, Rodolfo, and thank you for your reference to the new format. I will certainly tell our IR people. Well, I will answer your question, and Marco can add and speak about the cost part. But I would like to call Soares to talk about the ramp-up of PM28, particularly in terms of the commercial strategy, the approval by customers, and maybe he can talk more about our product portfolio, because I think that will shed some color to what I said. Now, about the PM28, at the beginning, I mentioned that, and Marco, whose memory is better than mine, he can elaborate more on that. If we always look at accumulated 12 months, we are in the process of ramping up the machine, which means more production every 12 months. This number should be around 60%, and Marcos can correct me if I'm wrong. So, in my mind, I still have an additional 40% volume, meaning additional revenue that will help me to dilute Klabin’s fixed costs. So, by analogy, you know, higher revenue, higher dilution of all fixed costs. Well, there are other elements that come to play, but if we look at more stable prices, I was corrected now. That 60 number is already at 75. But anyway, we still have some additional room to dilute the fixed costs of the company. This is the view for the PM28. Then Marcos can elaborate a bit on that, and Nico can also tell us more about the long fiber or softwood.
Jose Soares: Thank you for your question, Rodolfo. The strategy we are deploying is that we are transferring products from the existing machines, PM7 and 9, and as we get into new markets, get new customers and new products, we are removing products from PM7 and 9, and we are transferring those products to PM28. So, we are keeping those products that do not depend on extensive processing, like LPB. This product is still being used in some markets, but in some other international markets, we already got the approval. Now, in the third quarter, we are already delivering the product to some foreign customers. I mean, products from PM28 for LPB, and this should expedite the ramp-up of the machine for all products. The machine is doing folding box, which is the conventional coated board for generic applications, and new carry board, which is a product used in multi-packing packages for the beer market, and we are now entering the international market with LPBs. So, this is the ramp-up of the machine related to coated board. We launched a new product, which is a White Liner coater, because the machine has the capacity to cover the product. This is a niche product of added value. It's very similar to coated board. Today is better than exporting coated boards to spot markets. So, we are trying to use the machine for products that can give us a profitability that is equal or higher than coated board. So, the White Top Liner and White Top Liner coated, which is our Eukaliner White, is helping us to ramp up the machine. So, this is the dynamics that we are using now, and it seems to be working quite well.
Marcos Ivo: Hello, this is Marcos Ivo. I would just like to quickly add something else to Soares’s explanation. I'm going to talk about numbers and not percentage. You're familiar with the numbers. I would just like to remind you of that. PM27 produced 108,000 tons in the second quarter. It's a machine of 450, so we still have volumes coming from PM27. PM28 produced 95,000 tons, and that is a machine of 460. The annualized volumes, you realize that in both cases, we have more room on PM28. So, in terms of financial results, we have volumes coming in, and this volume helps to dilute our fixed cost, fixed cost of the plant and also Klabin’s G&A. Moreover, particularly with PM28 and going back to Soares’s explanation, in a timeline, throughout time, we will see margin improvements. You have the volume effect, but you also have the margin effect due to the improvement in the machine mix throughout time. Perfect. So, it's a combination. So, if we think about the moment of the company, this is a combination of the machine ramp up, meaning new revenue and results yet to come. And in parallel to that, the forestry area is promoting synergies. So, this is based on the main raw material of the company, forestry area. And the third pillar, which is important to stress, it involves a long-term work, but last year we already initiated a deep work to improve the company's G&A. And this also brought some interesting results that we are reaping the benefits now. So, with more structured G&A, the improvement in the average distance, synergies in the forestry area, and better revenues with the ramp up with the new machines, and all of that combined with what I said at the beginning, what is the moment of the company? The moment of the company is translated into deleveraging. I mean, surfing in the moment, which in practical terms means to reap everything we worked for in the past few years. So, okay, now Nico can talk about the long fibre.
Alexandre Nicolini : Thank you for the question. Even if there is a correlation between long and short fibre, when we look at supply and demand, long fibres or softwood does not go through the same imbalances in terms of supply. We have seen announcements of new capacities getting into the market, but we don't see the same thing happening with, you know, long fibre. There were several shutdowns of plants, almost in the last three and a half years, 3.5 million of capacity was shut down. So, in our view, in the medium long run, this gap between the prices of long and short fibre will increase. But as you all know, our exposure in long fibre is very small. It's mostly concentrated in Brazil in non-paper segments, but in specialty segments, so the focus is on fluff. This is something already mentioned by Cristiano, the market has been very resilient, therefore the outlook is quite positive for the medium long range. Thank you.
Operator: Our next question is from Caio Ribeiro from Bank of America. Caio, you may proceed. Mr. Ribeiro, you may proceed.
Caio Ribeiro : Good morning. Thank you for taking my question. My first question is on the pulp market. I would like to revisit the topic and more specifically speaking about short fibre. Today, we see that the resale prices are significantly lower than FOEX prices. So, I would like to hear from you what you expect going forward and whether you believe that the spread should tighten with FOEX being closer to resale price or whether you see reasons for this difference or gap between the two prices in the coming months? And secondly, still elaborating on the topic of capital expansion. Cristiano, I think you said that the company will focus on its deleverage. So, could you tell me what leverage levels you expect to achieve before you even announce a new investment and whether this deleveraging could be accelerated in the next 12 months by the sale of exceeding forestry assets like project Caetê? What would be the most adequate timing to announce a new project? Thank you.
Cristiano Teixeira: Thank you, Caio. Nico, over to you.
Alexandre Nicolini : Caio, good morning. Thank you for the question. Resale price is only an indicator because it contemplates all short fibres and not only fibres from eucalyptus. Therefore, the price is converted into the local currency, RMB, the Chinese currency. So, negotiations with China, as you well know, in the last two months, China traded a very low volume and the market remains stagnated. And in terms of July negotiations, they have not been concluded. What we hear now from the market is that some producers are negotiating short fibre at $50 more than the pre-sale price. So, I reinstate that July negotiations have not been concluded. They should be concluded between today and tomorrow.
Cristiano Teixeira: Thank you, Nico. Thank you, Caio. Now, as for capital allocation, I think what we could say to answer your question, and if it's not a satisfactory answer, please let me know. But I think we have to address the priority of the moment. So, what's in our minds for 2024 and probably through mostly 2025 is to bring the ramp up of PM28, 27 and Figueira itself. That involves a lot of commercial strategy, logistics strategy to bring new revenues into the company. And this combines, couples with that strategy that is focused on capital allocation of the company, which is what? Deleverage. That means our focus is basically on deleveraging the company. Now, speaking about a longer-term strategy, I would like to remind you, because some of you had the opportunity to see the company's roadmap. And certainly, during our Klabin day, we will revisit that. In our roadmap, we have a document that has been appreciated by the board and we've been working on it since 2018. So again, since 2018, we talked a lot about capital allocation and the long-term strategy of the company, constantly looking at the company 10 years from now. This strategy, it's been set and we will continue to perform within that 10-year window. But now looking in the short run, as I said, 2024 and 2025, the focus does not contemplate the implementation of new projects, but on the contrary, we want to deleverage the company with new EBITDA. And this is what will happen, mainly looking at the cost performance that we've been delivering to you. Now, in terms of the leverage level, and then when we talk about the roadmap, we will obviously be increasingly comfortable in terms of fulfilling the commitments of the company. The EBITDA growth of the company will put us in a very comfortable position, so much so that we can say that Klabin is following the policies to the letter. So, any new announcement that could probably come up at the light of our strategic roadmap in the future will certainly abide by our debt policy.
Caio Ribeiro : Very, very clear. Thank you, Cristiano and Nico.
Operator: Our next question, Eugenia Cavalheiro, Morgan Stanley. Please, Eugenia, go ahead.
Eugenia Cavalheiro: Good morning. I'd like to know if you can give us more detail about the different geographies for the Pope part, and you mentioned a little bit at the beginning of the call, but if you could give us more detail of how you see the Europe market as well, that would be helpful. Thank you.
Cristiano Teixeira: Thank you, Eugenia. Nico?
Alexandre Nicolini : Good morning, Eugenia. Thank you for your question. Well, Europe, we're starting now the low season due to the summer in the northern hemisphere. July was a good month in terms of sales without a lot of volume variations. Everything was according to what we expected in terms of our contracts, but July and August usually are not as high demand as the first quarter, but our perspective remains positive in terms of executing the strategy that we proposed for the third quarter. Cristiano showed you the numbers here. We have a bigger exposure in the mature markets, lower exposure in the China market that was already mentioned in previous quarters, and the strategy remains unchanged.
Cristiano Teixeira: Thank you, Nico.
Operator: Next question, Lucas from XP. Please, Lucas, go ahead.
Lucas Laghi: Good morning, everyone. Just a follow-up on our side in terms of cost. I think you talked a lot about the consolidated dynamics, but when we look at a beta per unit here in the second quarter, we see a positive evolution in the business ex-pulp, focusing on papers and packaging, basically driven by an improvement in the unit cost or the cash cost for the paper and packaging business. So, I'd like to understand a little bit more about the drivers of this quarter that explained the sequential improvement, especially when we think about mix. I think you talked a lot about with the expectation of improvement with the ramp-up of the machines, but I'd like to understand more on the side of the fiber cost and the paper production if there's been any significant change in the cost of paper, the cost of integration. So, if the data has already helped account for some of that decrease that we saw in the cash cost of paper packaging and the dilution of fixed costs that I think was assisted by the improvement in volume. So, if you could rank this for me at this point, what do you see as the main reasons for this sequential drop in costs for paper and packaging? I think that would help us understand a little bit better and how to think about this line from now on. Thank you.
Cristiano Teixeira: Well, Lucas, you actually made us laugh here in a good way because you already answered your question, okay. But then, of course, in respect to the points that you raised, Marcos will talk about them.
Marcos Ivo: Lucas, thank you. So, you made my answer difficult, but basically, you're very right. There's a series of things positively affecting Klabin’s costs. It begins with the wood with the Caetê effect. So, why is it more relevant for papers than for pulp? Because in papers, benefit from the machine ramp up. So, you have paper machine 27, 28 with growing production volumes that dilute or decrease the fixed costs. There is also the entry of Caetê, but especially in conversion, we have the benefit of Eukaliner. So, there's a reduction in grammage. The combination of these factors accentuates the drop in costs for paper and packaging.
Lucas Laghi: Great. Thank you. I just wanted to connect this on the ranking of what responded for this or accounted for this performance. Thank you for your comments. Have a great day.
Operator: Our next question is from Igor Guedes with Genial. You may proceed, sir.
Igor Guedes : Good morning, everyone. Thank you for taking my questions. First, I would like to understand what you see in terms of downside risk for the Kraftliner segment? I know you already mentioned this point, but I would just like to exploit there a little further. In the second quarter ‘23, you were shutting down machines because the market conditions were not so favorable. And a few months later, we already see that the Kraftliner market supported by the OCC dynamics, a good capacity to take up prices. I mean, I think you went from one stream to the next in a very short period of time. So, what are the risks that you see that could make the market to return to a more difficult situation? And my second question has to do with the variation in your biological asset. We saw that there was an impact in the bottom line. So, could you give me a view of what are the impacts of this line and what is happening there? Thank you.
Cristiano Teixeira: Thank you for your question, Igor. Soares is here to help us out. I will just start answering and then Soares will come next. I'm not going to try to escape your question because Soares will elaborate on that subject. But I would like to remind you on the value of the integration. You might say that Cristiano is very repetitive, but I would like to revisit that again and to mention it again. You might recall that we spent about two years with good stability after COVID. We had a very positive period during COVID for international prices. And after the pandemic, there was an over inventory of products all over the world. And that was combined with a very strong inflationary period. It was a very difficult period for the industry all over the world. I mean, that first wave past the pandemic. At that time, the reintegration was crucial to Klabin because international prices dropped about $200, $300 in some instances. And when I look at my conversion price at market price, it is at market price, but it's a stable price. It doesn't vary throughout the year. So those $200, $300, there was a premium to transfer the price to my conversions. And you might recall that at the beginning I said that this is our more stable market. That's why we want to be closer to consumers. So, the value of this integration in the last two years, then by the company, I mean, I say that we need, I mean, I say need because it's important that you look at the company and see that we were very criticized in the last two years once we reinstated our needs to invest in this integration. But this proves to be important in these two years. And it is proving to be increasingly important in a year that being closer to consumers brings further stability to the business. This is what I showed at the beginning. So this is a capital intensive business and we are increasing the capacity in the past years and stability is quite important. On the point of view of our shareholders, our main shareholders, we have a huge base of shareholders of the company that they expect stability from us. I'm sorry to give you a longer explanation and probably deviate from the context, but now, Soares, we'll focus on that question.
Jose Soares: Igor, thank you for the question. If we look at what we experienced, you said that we shut down some machines. That is true. It took us 18 months to make the corrections because the international market struggle and it took us about 18 months to correct that surplus of inventory that happened at the end of pandemic. People were desperate to buy and that conversion took about 18 months. The next step was when customers didn't buy anything, they zero their inventories and at a certain moment, people started buying paper again and inventories has started to increase, but just at a minimum level of operation. Now, what we see is a third wave and third wave involves the retail segment. They're resuming their purchases. We went through a phase that was only the basics and today we see both in the U.S. and Europe a movement to replenish their inventories for retail. Now, if we look at five months of the market and with paper, container board. Container board, the average of the last five months when compared to 2023 is 6.5% growth. If we take a market like Poland was 11%, Italy 8%, Spain 7%, UK 5%. So, this is across the board, this recomposition. We still see inventory levels being low. So, people now achieve a comfortable inventory level, but for the second quarter, there is no downside risk at the moment. We're not seeing that and then when we look at the U.S. competition scenario, they already see a second half being much stronger in terms of cash in the U.S. So, the general outlook is very good with no downside risk. In terms of biological assets, there is nothing special. We are back to normal. I don't know whether your question was exactly about exhausting or the markup of the fair value. About the exhaustion, it will have to do with the forestry Klabin acquired forests from third parties and the cost is higher. In terms of the fair value, there are natural oscillations every quarter. This quarter, we adjusted the leasing amounts and this impacted the value in the period, but nothing out of the ordinary and the expectation is for further stability going forward. Thank you very much. Thank you, Marcos and Igor. And with that, we conclude the call and as I said, we will not comment on the trends because we already did that during our conversation. Thank you very much and I'll see you next time.
Operator: Klabin’s conference call is now concluded. Thank you very much for joining us today and we wish you a very nice afternoon. Thank you.